Executives: Robert Knight - Chief Financial Officer, Executive Vice President of Finance, Chief Financial Officer of Pacific Railroad Company and Executive Vice President of Finance of Pacific Railroad Company John Koraleski - Executive Vice President of Marketing and Sales - Union Pacific Railroad Dennis Duffy - Vice Chairman of Operations James Young - Chairman, Chief Executive Officer, President, Chairman of RailRoad, Chief Executive Officer of Railroad and President of RailRoad
Analysts: John Mims - BB&T Capital Markets Allison Landry John Larkin - Stifel, Nicolaus & Co., Inc. Ken Hoexter - BofA Merrill Lynch Thomas Wadewitz - JP Morgan Chase & Co Garrett Chase - Barclays Capital Bill Greene - Morgan Stanley Salvatore Vitale - Sterne Agee & Leach Inc. Scott Flower - Banc of America Securities Jon Langenfeld - Robert W. Baird & Co. Incorporated Walter Spracklin - RBC Capital Markets Corporation Rob Salmon - Deutsche Bank Benjamin Hartford Edward Wolfe - Bear Stearns Cherilyn Radbourne - TD Newcrest Capital Inc. Chris Wetherbee - FBR Capital Markets & Co.
Operator: Greetings, and welcome to the Union Pacific Second Quarter 2010 Earnings. [Operator Instructions] It is now my pleasure to introduce your host, Mr. Jim Young, Chairman and CEO for Union Pacific. Thank you, Mr. Young, you may begin.
James Young: Good morning, everyone. Welcome to Union Pacific's Second Quarter Earnings Conference Call. With me today are Dennis Duffy, Vice Chairman, Operations; Jack Koraleski, Executive Vice President of Marketing and Sales; and Rob Knight, our CFO. Union Pacific set a new quarterly earnings record of $1.40 per share, 52% increase over last year's recorded earnings of $0.92 per share. Last year second quarter included about $0.14 per share from a land sale, so on a more apples to apples basis, we actually increased earnings almost 80% versus 2009. Operating income was a record $1.3 billion, a 71% increase. A key contributor to our strong earnings performance was the return of business volume to our railroad. In fact, this is the first time in six years that we've reported volume growth in all six of our businesses in the same quarter. Beyond the strong earnings growth, the real quarterly highlight was achieving a 69.4% operating ratio. This is our first ever quarter under 70%, and is a tremendous achievement for the men and women of UP. We are demonstrating great volume leverage, efficiently handling an 18% increase in business with little incremental cost. It's really a team effort, beginning with our employees who are dedicated to running a safe, efficient railroad. Our commitment to rail infrastructure investment, a disciplined yet flexible transportation plan, and our continuous safety improvement efforts are all paying off in the form of enhanced productivity and resiliency. These are the keys to delivering high quality service for our customers. Customers increasingly recognize the great value that UP franchise has to offer, allowing us to reach new markets and supporting our pricing plans. Not only are customers rewarding us with their business, second quarter customer satisfaction scores were an all-time best. With another record quarter in the books, we feel good about the direction of our company and the opportunities we have in front of us. With that, let’s turn it over to Jack for a review of our business team.
John Koraleski: Thanks, Jim, and good morning. I thought I’d lead off this morning with a look at our customer satisfaction which came in at 89% for the quarter. As Jim said, that's a new best ever result, and we believe it's a pretty good indicator of how customers view the value proposition that Union Pacific is offering them today. I wanted to lead off with this slide because it's not only the stronger economic activity that drove our growth in the second quarter but also a stronger value proposition that’s been driven by excellent service and our new product offerings as well. The second quarter of last year marked below point for volume as the impact of the recession was felt across the business. This year with all six commodity groups posting gains, overall volume climbed 18%. We saw stronger core price improvement driven in part by a reversal of intermodal’s recent trend of negative pricing. With our major domestic legacy deals behind us, intermodal joined the other five groups in posting core price gains during the second quarter. Overall, core price improved about 5%, which combined with the increased fuel surcharge revenue and a little negative mix to produce an 8% increase in average revenue per car. The volume gains and improved revenue per car combined to drive freight revenue up 27% to just shy of $4 billion. So let's take a closer look now at each of our six businesses. Our Ag products volume grew 5%, which combined with an 8% improvement in average revenue per car to produce a 13% increase in revenue. Ethanol volume grew 24% as U.S. production expanded to meet the government mandate.  Soybean meal shipments declined 5% with the stronger South American crop now finding its way into world markets at the expense of a higher priced U.S. production. Whole grain exports increased 16% with shipments of both corn and wheat up in all three of our markets, Mexico, Pacific Northwest and Gulf. Domestic feed grains grew 9% with a boost from corn shipments to forward ethanol plants in both California and Idaho that have now resumed production. Overall, our whole grain shipments were up 9% against record low volumes a year ago. Our Produce Railexpress perishable service in conjunction with the CSX grew 16% attracting business off the highway with a strong value proposition. Automotive revenue was up 105%, driven by a 71% growth in volume and a 19% increase in average revenue per car that reflects some contracts that have been re-priced over the past several years.   U.S. vehicle production is estimated to be up just over 70% in the second quarter reflecting the industry's continued recovery from last year's low sales levels and financial turmoils. For Union Pacific, that recovery was reflected in a 77% increase in finished vehicle shipments and a 67% growth in auto parts volume. Our chemical volumes grew 11%, which with a 6% improvement in average revenue per car produced a 19% increase in revenue. Fertilizer volume increased 36% with export shipments accounting for two-thirds of that growth. With inventory levels more balanced than a year ago, improved demand resulting from the stronger economy translated into 11% growth in our Industrial Chemicals segment. The results were strong demand for both export and domestic soda ash, but a 35% increase in exports is what really drove the segment to 18% increase in volume. LPG volumes increased 13% and petroleum products shipments grew 11%, even as asphalt demand remains relatively weak. Energy revenue increased 13% as a 3% growth in volume combined with a 13% improvement in average revenue per car. First overall volume growth we've seen in our energy business since we saw the economy start to slide in late 2008 was driven by a 5% increase in tonnage out of the Southern Powder River Basin. The largest driver was a new coal-fired unit that came online in San Antonio, but shipments to other mid-western and southern utilities have picked up as stock piles reached near normal levels, economic activity picked up, and the summer burn kicked in.  Our Colorado/Utah tonnage was flat impacted by continued soft demand and production downtime associated with the mines relocating equipment to some new reserves. We expect that that process is going to continue well into 2011. Our industrial products revenue grew 30%, as a 25% increase in volume combined with the 4% improvement in average revenue per car. Drilling demand along with the recovery in the automotive industry are the major drivers of increased capacity utilization for U.S. steel mills, and that translated into stronger volumes in our steel and scrap business with shipments up 87% in the second quarter. Our short-haul movement of Uranium tailings from Moab, Utah for the Department of Energy drove the 157% increase in hazardous waste volume. And if we exclude the negative mix effect of the short-haul move, average revenue per unit in our Industrial Products business would have been up 9% for the second quarter. Increased drilling activity is also the driver behind a 49% increase in our non-metallic mineral volume, primarily frac sand and some of the other drilling related products. It also drove an 18% increase in rock, where road and related construction tied to oil drilling is growing. Unfortunately, we haven't seen much improvement in other construction, whether it's commercial, highway or housing. Our lumber was up 11% for the quarter, but that pace actually slowed following the expiration of the housing tax credits. Intermodal volumes grew 24%, which when combined with a 10% improvement in average revenue per unit drove revenue up 35%. Volume for our International Intermodal segment increased 23% as import growth starts to reflect the positive economic trends over the past year.  We were able to capitalize on the stronger economy in our Domestic Intermodal market as well, leveraging a strong value proposition for highway conversions in many of our major lands. Although we lapped last year's win with the Hub Group late in the quarter, growth in the -- their business also contributed to gains in our Domestic segment. Our streamline subsidiaries door-to-door product grew 67%, with half of that growth coming off the highway. And the new Pacer arrangement and the UMAX program improved price performance and provided better fuel surcharge recovery, helping to drive the increased average revenue per unit. So, let me wrap up with a look ahead of what we're seeing here in the second half. The economy began to recover during the second half of 2009. And it doesn't look like the slow improvement trajectory is going to change much over the last half of this year. From an overall perspective, low inventory to sales ratios throughout the supply chain are an encouraging sign for transportation demand. And the tightening truck and container availability that we're seeing today are encouraging signs for the rail industry. With the Powder River Basin coal stockpiles back essentially at normal levels, growth prospects have improved for our largest business segment. And if there is a dark cloud, it's the continued lack of recovery in housing and construction, which along with continued high unemployment is keeping alive the question of just how engaged the consumer is in this recovery.  Our growth opportunities over the next six months are most likely going to come from the same segments that posted gains in the first half. Those would include Ag, for instance. Ethanol growth should continue. Shipments into forward plant should boost domestic corn volumes. The fall crops are looking pretty good right now, however we did see strong feed grain and meal exports late last year and we don't expect those markets to be quite as strong for U.S. in 2010. While vehicle sales forecast for the year have been trimmed slightly, manufacturer inventories are still pretty well aligned with demand. And production is projected to be up from last year, so we're going to continue to see growth in this segment. As we started the third quarter, our Autos business has probably seen the greatest impact from the devastating rains from Hurricane Alex in Mexico and the bridge outages on the KCSM. While we don't expect a significant impact to the quarter, it's obviously affecting our customers.  Across all six of our businesses, it's kind of an all-hands-on-deck here working with our international customer service center in both Mexican rail rate -- railroads to identify rail re-routes, and alternative solutions like truck and the transloads or intermodal facilities north of the border, to keep our customers shipments moving and avoid plant shutdowns. Chemicals is benefiting from improved demand in downstream markets. Fertilizer inventories are still low and demand should be strong, including export potash. And we expect export soda ash to continue its current pace as well. Southern Powder River Basin coal prospects have brightened with the stockpiles down and the summer burn helping to drive demand. The Colorado/Utah stockpiles still remain relatively high and the opportunity is expected to be further dampened by production downtime. We're still waiting for signs of recovery in a number of our industrial products markets, but drilling activity should continue to drive growth in non-metallic minerals. And with the help from anticipated growth in autos, steel shipments should stay ahead of last year. We expect growth in our uranium tailings move, but we have now lapped the start-up of that business. So the year-over-year comparisons aren't going to be quite so strong. Stronger import levels should drive growth in International Intermodal. We're expecting a normal peak season this year.  Excellent service is attracting highway conversions in Domestic Intermodal, especially as truck supply tightens and our equipment supply improves, so we should see a strong second half with improving margins. So overall, l increased economic activity, strong value proposition that underpins our growth prospects across all six groups, and coal price improvement, should all combine with volume gains to drive revenue growth in the second half. With that, we’ll turn it over to Dennis for the operations report.
Dennis Duffy: Thank you, Jack, and good morning. In the second quarter we continued to see overall improvement trends in safety, service and value. Even with an 18% increase in volume, we maintained a strong performance with our Service Delivery Index coming in at 92.1% in the quarter. We achieved over three points of SDI improvement versus the first quarter as this is the measure -- as this measure continues to be highly correlated with the record customer satisfaction Jack discussed earlier. Behind those results is the hard work we do in every facet of the operation to deliver consistent service to our customers. For example, Industry Spot & Pull was a record 93.2% in the quarter. This is one of the most visible measures for our customers as it represents their first and last events of each car cycle.  Car connection performance, which measures whether we put right cars in the right train, was maintained at very high level. Terminal operations remained fluid, enabling good execution of the transportation plan. And second quarter velocity was 26.4 miles per hour, up slightly from first quarter levels. We demonstrated great resiliency and recoverability in our operations during the quarter, which enabled us to achieve these strong results. In particular, our trains experienced significant weather-related delays, 15 out of 30 days in June. By comparison, last June operations were impacted by only one day. And in the face of those challenges, we improved our overall safety performance, setting a new second quarter mark for employee reportables, and an all-time best for reportable dynamics [ph] [21:49]. Running a safe and resilient network also allows us to generate strong volume leverage. In the second quarter, with an 18% increase in car-lettings, total train starts only increased 7%. One source of our volume leverage is productivity. Across all of our asset classes, we are doing more with less. Employee productivity measured by gross ton miles per employees reached its higher level in nearly two years. Freight car utilization was a second quarter best at 8.4 days. And locomotive productivity improved 3%, year-over-year. Another source of leverage is our excess working resources. Today, we have roughly 2,300 employees per load; 39,000 stored freight cars; and 1,200 excess locomotives. Although every category is down from peak levels, we still have ample resources to handle current demand. We are, however, hiring and transferring some conductors over the next couple of months to supplement locations where the combination of volumes and attrition require it. We're also in the early phases of thinking about our 2011 capital plan, including the possibility of starting locomotive purchases next year, maybe around 100 units. Although our stored locomotives are functional, new units would improve fuel efficiency, reduce emissions, increase reliability, and expand our distributed power capability. It will also provide flexibility in advance of yet to be developed locomotive technology to meet Tier 4 EPA requirements. Increased productivity generates capacity in terms of throughput on our network. And one of those areas we've been concentrating intently on is train length. Compared to 2009, we've increased train length in almost every major train type, establishing new records with some. For example, our intermodal train length averaged nearly 164 boxes per train in the second quarter, an increase versus 2009 of more than 15 boxes per train. To illustrate the power of train size, the 1% improvement in coal doesn't sound like much, but one car more per train saves a 100 loaded coal trains per year. The Unified Plan continues to find opportunities to run longer trains more productively. We are also working with our customers to identify and eliminate length constraints. Beyond that, our increased use of distributed power and targeted capital investments give us the physical capability of running longer trains. This is further enhanced by the terminal performance improvement initiative that facilitates throughput and performance in major terminals. As we look ahead to the back half of 2010 and peak season, we will be ready and committed to exceed customer expectations with excellent service. We will also continue our efforts to operate in a volume variable manner, incurring additional expenses more slowly and volumes increase. Our robust capital programs are essential for maintaining both safety and service. And we are always working to increase our overall capital efficiency, completing more work with less dollars spent. Finally, we never take our eye off safety as we strive to make every decision have a safety component built into it. With that, let me turn it over to Rob to discuss the financials.
Robert Knight: Thanks, Dennis, and good morning. UP's second quarter financial performance was exceptional by almost every measure. Slide 19 summarizes second quarter revenues and expenses. While operating revenue grew 27% to $4.2 billion, operating expenses only increased 14% to $2.9 billion. An 18% increase in carloads, strong core pricing gains, and our ongoing commitment to cost efficiency help drive a 71% increase in operating income to a best ever $1.3 billion. Similar to the first quarter, the biggest driver of the expense increase was the rising price of diesel fuel which accounted for more than half of the year-over-year change.  Second quarter other income totaled $19 million compared to $135 million in 2009. As you'll recall, last year's results included $116 million pre-tax gain on a land sale in Colorado. Interest expense totaled $152 million, up only $2 million versus '09. Income taxes increased 62% to $435 million as a result of increased earnings and a higher tax rate. Our second quarter 2010 effective tax rate was 38% versus 36.6% a year -- in the year ago quarter. The result was a best ever quarterly net income of $711 million, or earnings per share of $1.40 per share.  On a reported basis, net income grew 53%. But if you strip out the 2009 land sale, earnings on a more comparable basis actually grew 81%. Turning now to price. Slide 20, we are reporting an almost 5% core price gain in the second quarter. As we discussed back in April, this sequential quarterly improvement was supported by our legacy renewals. Increased freight demand and consistent high-quality service contributed. Similar to the first quarter, the second quarter pricing gains included about a half point of fuel related increases associated with RCAF. Looking beyond the second quarter, we continue to feel very positive about the pricing opportunities we have over the rest of 2010 and beyond. Supported by UP's strong service in our remaining legacy contracts, we are committed to achieving real pricing gain that will drive higher returns. Moving on to operating expenses. We'll start with compensation and benefits at $1.1 billion in the second quarter, an 8% increase versus 2009. The storyline here continues to be strong employee productivity, which allowed us to grow volumes nearly 18% with a 3% year-over-year decrease in our workforce. As you heard from Dennis, we are driving efficiency gains by returning resources to the railroad more slowly than volumes. Offsetting productivity were several factors. Second quarter 2010 is the last quarter of the current labor agreement which provided a 4.5% wage hike. And as we discussed at the beginning of the year, higher agreement, health and welfare costs added roughly $25 million to the quarterly expense. Volume costs were higher as increased car loadings requires more train starts and greater fuel -- excuse me, greater crew expenses. In addition, equity and incentive compensation expense was somewhat higher year-over-year. Slide 22 helps illustrate how we think about employment levels over the remainder of 2010. As shown on the left, 7-day carload volumes have seen a slow, steady climb since the third quarter of 2009, up almost 8% over that period. And since the fourth quarter, we've also started to see a sequential increase in our workforce but at a slower pace. We look forward to putting more of our employees back to work as needed for volumes and attrition. But this won't be on a one-for-one basis, as we continue efforts to further improve employee productivity. Second quarter fuel expense totaled $608 million, a 64% increase versus 2009. Higher year-over-year fuel prices and increased volume were the drivers, adding $186 million and $48 million to the quarter respectively. A portion of these increases were offset, however, by continued improvement in our consumption rate. Our fuel conservation efforts produced a 1% savings in the quarter, achieving a second quarter best ever level. Slide 24, summarizes the year-over-year change in three of our expense categories. Purchased services and materials expense increased $73 million in the quarter or 18%. Growing business volumes resulted in greater use of contract services in the second quarter, particularly for purchase transportation associated with automotive and intermodal shipment. We also saw increased usage of joint facility operations in intermodal ramps. Second quarter equipment and other rents expense decrease 8% or $25 million. Roughly $14 million of the decline is associated with locomotive lease restructured in May of 2009, so we have now lapped that expense change. In addition, better asset utilization in the form of improved cycle times and lower lease expense for freight cars, intermodal containers and locomotives contributed to the year-over-year decline. Offsetting a portion of these savings was increased car hire expense associated with the strong demand for automotive and intermodal equipment. Other expense totaled $122 million, $31 million lower than in 2009. This expense line came in well below our expected range, primarily as a result of our continuous safety improvements which reduced casualty costs across-the-board. Although on a year-over-year basis the change in personal injury expense was minimal, ongoing progress in our safety efforts was reflected in a semiannual actuarial study.  Freight and property claims were also better in the quarter, saving roughly $15 million versus 2009. In addition, less bad debt expense and reduced costs for environmental remediation contributed to the year-over-year lower expense. Going forward, although there are several moving parts associated with this category, our current thinking is that other expense will be closer to $170 million or so in both the third and fourth quarters. This assumes some ongoing benefit from casualty performance, but not at the same level as we achieved in the second quarter. Although we are reporting a number of bests in the second quarter, and very strong earnings growth, if you want to take away just one number from the quarter, it should be 69.4%, UP's first ever sub-70% operating ratio. This was a full eight points of improvement versus 2009, despite the impact of higher diesel fuel prices. We are delivering on the goals established as part of Project Operating Ratio as we convert stronger volumes, better pricing, and greater efficiency into record bottom line results. The combination of carload growth returning to our railroad and the resulting strong cash flow supported our decision to resume share repurchases back in May. We are being opportunistic in our approach, and recent stock market volatility certainly gave us some attractive entry points. We bought back roughly 6.5 million shares for $466 million in the second quarter. And we have repurchased close to $200 million of additional shares in July. We also increased the quarterly dividend 22%. Our balance sheet remains strong with an adjusted debt-to-cap ratio of 43.5%. The comparison to 2009 is somewhat skewed however, since last year's June 30 ratio was the high point for the year. This year it's likely the low point as our 2010 debt maturities were more front-end loaded. As a reminder, we finished 2009 at 46.1%. An adjusted debt-to-cap ratio that's in the mid-40%s range supports our solid investment grade credit rating, which we continue to believe is appropriate for our business. Let me wrap things up with a few thoughts on the third quarter. As we see the world today, volumes continue to be somewhat of a wildcard but they are also the key to earnings. And assuming volume growth continues, we expect to move the increased volumes in a highly leveraged manner. Volume comparisons do get slightly more difficult in the third quarter. But even if we run flat with second quarter's 7-day volumes, we'd still be in the range of 7% to 8% volume growth versus 2009. Expense comparisons will be tougher as well, you recall last year's third quarter operating ratio was 73.8%, a quarterly record at that time, as we achieve best in a number of our efficiency measures. For example, fuel costs are expected to be higher year-over-year. Our current spot price is about $2.20 per gallon, which is 18% above last year's third quarter price. Beyond the cost discipline, we’ll achieve real pricing gains that support higher returns, creating a powerful combination that drives strong financial results for our company.  Of course, we can't control the economy, so we will have to remain flexible and play the hand that we are dealt. But we are looking forward to our next quarterly report, and the opportunity to build off of our record second quarter results. With that, let me turn it back to Jim.
James Young: Thanks, Rob. Before we open it up for questions, I'll make a quick comment on the future. Our second quarter results are an indicator of the true potential of the UP franchise when safety, great service, pricing, and productivity all come together. While many of our metrics reflect best ever results, we still have significant upside. Our network infrastructure is built to handle 190,000 to 200,000 weekly carloads. And we have the working resources needed to efficiently provide great customer service as volumes return.  Although, there is still uncertainty around the state of the economic recovery, we are encouraged by the current demand levels and see the potential for slow, steady growth in the months ahead. So with that, let's open it up for your questions.
Operator: [Operator Instructions] Our first question is from the line of Justin Yagerman of Deutsche Bank.
Rob Salmon - Deutsche Bank: This is Rob Salmon, on for Justin Yagerman. My first question is focused on the Intermodal segment. Could you give us a bit more color on how the UMAX agreement has impacted the Intermodal pricing and profitability for you guys? And could you also give us a sense of the type of benefits we should be thinking about as your Joliet Intermodal Terminal becomes operational in Q3, i.e. where should we see the biggest benefit? Will this be a network capacity asset productivity or network fluidity?
James Young: Rob, it's probably -- probably not going to talk a lot about the pricing associated with the UMAX program. I will tell you that it is improving our margin and doing what we had hoped for in terms of helping us to recover additional fuel surcharge. And so both of those are quite positive, and you saw the impact of that. Customers’ activity to the UMAX program has been awesome. And it's growing in volumes and service has been great. So all around, we're quite happy with that. The Joliet facility is going to do all those things. It's going to be a combination of fluidity. It's going to be asset utilization. It's going to improve schedules for our customers. It's going to give them closer access to the major consumption markets there in Chicago. And we will also have improved throughput in our interchange business with both Eastern carriers. So it's going to be the whole package from our customers’ perspective.
Robert Knight: Rob, the key here, UMAX is a piece of an overall strategy in the Intermodal, but the bottom-line in Intermodal is great service. We’ve got a lot of different products, all these corridors, and we're really seeing what can happen when you put great service products in the market.
Rob Salmon - Deutsche Bank: And should we still be thinking about kind of late third quarter this -- the Joliet coming on?
James Young: August 1.
Rob Salmon - Deutsche Bank: And I guess shifting gears a little bit to Dennis. Can you give a sense how much further you believe the train lengths can be expanded from current levels before you’d need help from customers, or make structural changes like extending sliding across your network? And how much improvement on the train lengths do you believe is possible across your manifest network and unit trains by working with your customers longer term? And what sort of timing should we be thinking about the potential to get those trains extended?
Dennis Duffy: That's a continual focus for us. And we are already addressing those issues that you mentioned, working with our customers. And we have some strategic capital points record towards our sliding extensions. More in the CNW and then across the Southeast, from El Paso east. But to answer your question specifically, we expect continuous improvement in our train length. We took it up 6.5% quarter-over-quarter a year. 2Q versus 2Q. On the Intermodal side, you saw the numbers, we said $164 million, we’re already up to $170 million currently. We think we can go well north of $200 million without taxing any additional locomotives on those particular trains. And the respective answer would rest on the commodity corridors and the commodity types. But you can rest assured that you are going to see continuous improvement in train length in all -- across all categories; the premium service, the manifest service, and the bulk service.
Operator: Our next question is from Edward Wolfe with Wolfe Trahan.
Edward Wolfe - Bear Stearns: Is there any reason why a 69.4% can't be at least that good in third quarter? I mean normally seasonally third quarter is a better quarter than second. You mentioned the casualty one-time benefit. You didn't quantify that. Maybe if you could help with that, that would help. Is there any reason that you see right now why you shouldn't be operating at this going forward?
James Young: Well, Ed, if you looked historically, second half is generally our highest earnings potential, so you can extend that out. It's going to be a function to how we see business volumes moving. The personal injury accrual clearly helps some, but keep in mind the higher fuel cost also penalized us. So it’s a pretty good performance rate. So I'm optimistic about third and fourth quarters, but again, just watch the volumes.
Edward Wolfe - Bear Stearns: When you think about headcount down three and volumes up 18, obviously volumes can't last like this much longer, the comps gets tougher. But when do you think about those two starting to converge where you start to have to grow heads again and volumes come down and they get more similar to each other? Is that a couple quarters out, or is that something that's further out than that?
James Young: I think you can -- potentially third quarter you might see it up a little bit. Again, we're -- we’ve started some hiring, although the numbers are relatively small overall. And again, we're going to hire to support volume as we go forward. We clearly have the leverage, as Dennis was talking about, that we'll still see good leverage going forward here. But I think our numbers will not continue to pick up. Now that doesn’t say we’re not continuing to focus on productivity. We've got some great projects underway, technology, a lot of the process initiatives that are underway, that's there. But again, if we’re hiring, that means our outlook and volume looks pretty darn good.
Edward Wolfe - Bear Stearns: And can you just break out the yield, the 7.7%, in terms of price, fuel and mix?
James Young: Well, I think what we said is -- both Jack and Rob, is that the pricing number when you take kind of fuel and everything out of it, it was about 5% overall. We have to kind of look at ARC crews [ph] [41:46] negative mix -- or Rob, you want to...
Robert Knight: The high level numbers would be, the price is just about 5%’ish. Fuel, we’ll call it 6%. And negative mix of about 3% on the ARC [ph] [41:58] line.
Edward Wolfe - Bear Stearns: Could you give us a number on the casualty impact?
Robert Knight: Yes, Ed, it was similar to last year's number, which is about a $40 million positive. So year-over-year, it was about a wash. I mean it was roughly in the $40 million range.
Operator: Our next question will be coming from the line of Walter Spracklin with RBC Capital Markets.
Walter Spracklin - RBC Capital Markets Corporation: I just wanted to zero in on pricing as we start to look out to 2011. Perhaps you can give us a little bit of a sense what your -- the tone is with your customers right now in terms rebounding economy, are they feeling a little bit better? And is pricing a little more easier to drive through than perhaps this time last year? And what percentage of your book in 2011 has already been negotiated, if you can give us that?
James Young: Yes, I'll start with the -- kind of the first part of that, Jack can handle it. The pricing environment is stronger today than it's been in a long time. And again, you look at what's happening on the truck side, but all this is a function, where we think volume in the economy’s going here, so projecting out to 2011. So you've got some positive potential in the economy, but there's another factor here that -- don't underplay. Our service metrics have never been better. Our customers, when we do our -- we have a very robust customer satisfaction survey that value proposition has never been better. So when I think about that, I feel very good about the potential in the pricing side going forward. I’ll let Jack talk on the legacy contract.
John Koraleski: Walter, first of all I have to tell you, it's never easy to get price. So, but the environment has changed. There are some markets, obviously. Market demand is really what dictates your ability to take price up, plus the contractual obligations. So I would tell you right now, probably somewhere in the neighborhood of 60% of our pricing is contractually tied up right at the moment for next year, which is not unusual. We’re only halfway through the year, so...
Walter Spracklin - RBC Capital Markets Corporation: And is that at a rate that you -- sort of what you're getting in this quarter right now, is it, roughly?
John Koraleski: It is what it is. There's no reason to say that it would be going down, at least at this point in time.
Walter Spracklin - RBC Capital Markets Corporation: Second question here is on -- perhaps you can talk a little bit about the capital return to shareholders. Obviously you’ve bought your buyback back in the second quarter, and that’s great to see. Is there -- can we look at, is this going to be sort of your average run rate for buyback? Perhaps you can also talk about the -- your dividend payout ratio and your target levels, sort of just on that capital structure side, what we’re looking at going forward?
Robert Knight: Walter, as you’ve heard us say before, that we take a balanced approach. I mean we’re not giving guidance in terms of what the run rate’s going to be on our share of buyback other than we’re going to continue to be opportunistic as we have been up to this point. And that’s what we’ll continue to do going forward. And as we said on our dividend, as you know, earlier this year we increased it 22%. And we’d like to get into a position and be in a position where we are competitive with our dividends, steadily increasing it and being opportunistic on the share buyback. In terms of what’s the right level of the debt-to-cap ratio, the way we looked at it is we want to maintain a solid investment grade rating, which we think is in that mid 40%s ratio when you look at it on a debt-to-cap. So we’re comfortable in that level.
Operator: Our next question is coming from the line of Gary Chase of Barclays Capital.
Garrett Chase - Barclays Capital: I understand you made some comments in the prepared remarks, or Dennis did, about getting ready for peak season. And I just wanted to ask Jack, I mean, Intermodal volumes have been so strong, is a reasonable to think that we’re going to see a peak off the numbers that we've been getting more recently?
John Koraleski: Yes, Gary, I think the potential is it’s going to go up.
Garrett Chase - Barclays Capital: You’re not really concerned about inventory or…
Robert Knight: No. I think the indications that you’re seeing in the international markets today with international ocean carriers wanting their boxes returned back as quickly possible and transloading into domestic, we have some containers coming on board that we will be able to utilize, even with our new container acquisitions there will still be stronger demand than what we’ll have containers for. So I think for this particular year, the way things are shaping up right now, I think we will see a more traditional peak season and it will be up from where we are running today.
James Young: You have to throw in there the potential outlook on Ag, which could be an upside. You look at right now coal, comes to where we’re at with the burn so far. So there’s some real potential here to have a decent peak.
Garrett Chase - Barclays Capital: And then, Rob, just quickly on that $170 million and other expenses that you're highlighting for the second half. There’s nothing unusual on that. That's kind of a new run rate. I'm just looking at the $246 million from Q1 and wondering why it would've been that high, to come down to a $170 million run rate?
Robert Knight: Yes, I mean that category, as you know, has a lot of moving parts. But what we’re saying is -- from Q1, remember we had the $45 million CSXI payment in there. If you’re looking at Q1, yes. But the $170 million number is, again, a lot of moving parts, but we’re looking at that as sort of a more normalized level than the $122 million this quarter. And of course, among other things, what impacts that other category is volume. There are some volume related expenses in there. So people depend upon volume and other factors
Operator: Our next question is from the line of Chris Wetherbee of FBR Capital Markets.
Chris Wetherbee - FBR Capital Markets & Co.: Maybe for Dennis, you mentioned some potential locomotive purchases as you look out over the course of the next year or so. And when you think about, from an asset perspective, is there anywhere else you need to maybe make some investments as we see kind of business running at a better rate than it has been over than, obviously, the last couple of quarters? And I know you’ve bought a few boxes here and there on the container side. I’m just kind of curious if there’s anything else we should be thinking about from an investment standpoint?
Dennis Duffy: Well, Chris, I mentioned some part of our strategy was on our capital investment on the sliding links. We're continuing to press that issue here. We want to continue to grow our train lengths in these key corridors, I mentioned a couple of them, so we’re after that. I think food grade covered hoppers, we’re going to end up with a couple hundred of those here. So some -- there’s some really targeted specific car types that we might augment the spend with. But other than that, we’re into the core replacement spending and we really don’t see it, other than as I mentioned, the locomotives. So we’re working our infrastructure really hard to make sure that we’re reducing, taking variability out, improving the slow orders, and providing for excellent run-through capability and train length.
James Young: Chris, and keep in mind the step back from the locomotive potential here. These are really strategic investments long-term. When we think about our network today, we’re thinking about three, four, five years out. You've got long lead times in many of these projects. So when you hear us talk about our capital budget, which we’re still putting together, you've got to put that in the context of how you think three, four, five years out.
Chris Wetherbee - FBR Capital Markets & Co.: And I think I missed it, you mentioned the locomotives that you currently have in your storage right now. What -- do you mind just reminding me what that number is?
Robert Knight: It's about 2,300, 2,200, right in there. Locomotives.
Chris Wetherbee - FBR Capital Markets & Co.: And then just thinking, I guess on kind of that capacity question, when you think about kind of the lengths, and I know you had asked about train length before, but when you think about specific lengths, particularly when you look at the Coal business and you mentioned the real leverage you get from adding additional cars onto existing trains, is there -- other than that, is there other areas that really you may see better opportunities than others within the commodity groups that you move for, for getting extra train length, you're doing a great job in the Intermodal side, I'm just curious about the other commodities right now?
Dennis Duffy: We're pretty well set. What we call the Red X, that’s our central corridor where the coal route is, that’s not needing of any train length opportunities there. But we are looking at the run-through capabilities. That would be at the major terminals, Kansas City North flats. The other corridors would be the Pacific North West, I mentioned that. That’s again Intermodal growth, but that also facilitates grain, and our manifest business out of PNW. And we’ll be looking at the Sunset again, and looking at opportunities there to -- can we improve our efficiencies in specific locations. It won’t be any wholesale double-track effort, but there could be pinpoint efforts where we go in and look at, particularly in and around our terminals, to facilitate the through-put capabilities. And then as I mentioned also, El Paso East, that is also a mixed corridor, that we would look at this for some additional investment there.
Chris Wetherbee - FBR Capital Markets & Co.: One final question just for Jim. From your perspective, anything you're seeing different from a customer standpoint, the way they’re positioning themselves over the last four to six weeks with some of the choppiness we’re seeing on the economic front?
James Young: Well, I think there's a concern about sustainability here on the economy, which we all have, whether you’re -- regardless what business you’re in. What we do see with customers, again, they really value the service. You think about managing inventories, and what the railroad’s been able to do, we're in markets today that if you’re going to try to run tight inventories, you may not have been in three years ago. So our job here is to make certain we really perform service-wise and sell that value proposition. And get ready, I’ll tell you, still -- while there’s a concern on the economy, we still have many customers asking us, “Are you ready for peak?” “Are you ready to handle volume?” So I'm looking forward to continued growth here.
Operator: Our next question is from the line of Jon Langenfeld with Robert W. Baird.
Benjamin Hartford: This is Ben Hartford in for John. I just wanted to first look at the leverage potential. And when we think about incremental margins going forward in the coming quarters, expect that to slow. But do you believe that the opportunity remains to continue to drive outsized incremental margins up to the previous peak, still down 10% to 15% below previous peak volumes? So how should we think about that margin potential here in the near term before we kind of set into a run rate where we're capturing roughly half of the inflation on an annual basis?
James Young: Well, Ben, I think the way to think about this is the core infrastructure, that’s track, our terminals capacity. We're invested for that 190,000 to 200,000 carload level. So you're going to leverage that as you move up. Our working resources, I think we've said, were probably in that maybe 10% to 15% range or so out there. So we still have very good leverage. Now as I’ve said consistently here, obviously, as you move up the curve you’re going to have to do more hiring, when you look at it. But I think the numbers are very good. It -- the key for us is to stay ahead of this. Again, start thinking about 2011 and 2012 in terms of some incremental investment. But we’re going to have good leverage.
Benjamin Hartford: And then on the Intermodal side. From a strategic level service is very good, obviously, you had mentioned tight truck and container capacity. So is that putting any pressure on some of your smaller Intermodal marketing partners from a pricing standpoint? And I guess when you look over the next 12 to 18 months and look at Domestic capacity shortages, does that alter your strategy from a volume versus price balance?
John Koraleski: We're always looking at the market implications and pricing, and particularly in the Intermodal world. I would say that it's not -- just because they’re smaller, it probably does put a little more pressure on our smaller Intermodal but -- our IMCs. But actually everybody’s short of equipment, the large IMCs as well as the small. And we’re trying our very best to ensure that everybody gets equipment to meet their needs. So it's a tight market. A tight market like that always says there's some pricing opportunity for us. We still have some contractual obligations to work our way through here. But we do see that as an opportunity for us going forward.
Operator: Our next question is from the line of Tom Wadewitz with JPMorgan.
Thomas Wadewitz - JP Morgan Chase & Co: So in terms of I guess a couple things just on the expense side. And I understand you've got good operating leverage still going forward. How much do you think headcount goes up in third quarter? I guess if you look second versus first it was up, I think 400 or so. Is it kind of a similar step up the next couple quarters? And then on train length, just a sense of where you’re at with carload train lengths and what that can get to?
James Young: Tom, it's not going to be anything significant on the headcount number. Again, part of this is -- as you think about it right now, any hiring we’re doing today, much of that is looking probably fourth quarter, first half next year, you think about bringing new employees in. And we do have the furlough employees come back to work much quicker. But it will be up but nothing substantial, unless the volume really runs, we’re going to accelerate our hiring. And don’t confuse that with loss of margin here. We’re going to have very good margins and leverage in our business here, at least for the foreseeable future.
Thomas Wadewitz - JP Morgan Chase & Co: And then I guess, I think Dennis had talked about train lengths and Intermodal, 107 -- 170 containers can go to 200. What about in the carload network, is there any sense you can give in terms of average size of cars and what that could get to?
Dennis Duffy: Well, Tom, the only thing I can tell you is you can expect to see continuous improvement in all of our categories. The manifest side, we have plenty of room for growth, we’re setting records on that now, with our DPU trains and our longer trains. We’re doing the same thing with bulk, working with our customers and Jack’s team to extend those out. That’s not as rapid a growth rate, but you can expect to see manifest trains and Intermodal trains and auto trains continue to increase. When I quote those numbers, I’m quoting you the scheduled network, and that is -- that has increases expected across-the-board.
Thomas Wadewitz - JP Morgan Chase & Co: If I can slip one more in here for Jack. On the Intermodal revenue per unit, was up quite a bit sequentially, I think almost 5%. You've got the ramp with Pacer and I don't know how much the UMAX ramps but you think you could have peak season surcharges. Is it fair to think that, that absolute number for Intermodal keeps ramping up, Jack?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Yes, Tom, I think that you’re going to continue to see that improve over time.
Operator: Our next question is coming from the line of Scott Flower with Macquarie Securities[ph] [Macquarie Research] .
Scott Flower - Banc of America Securities: Tell me a little bit, with what you’re seeing in Washington and where that stands, is rail reform just sort of in holding pattern because there’s so many other issues going on in Washington and they’re just more focused on the politicians’ minds? Or help me a little bit to where you see that going.
James Young: Well, I think the discussions have continued but you’re at a phase right now that I think they’re kind of reevaluating where they’re at overall. And we're ready to work with -- we have been very active. I think again, the members I talked to involved with this, they know the stakes are very high in terms of any type of legislation, what it could mean. And nobody wants to get it wrong. There's one thing this industry’s done, and we continue to show that, you've had more new investment going to the rail industry in the last six, seven years than in a long time. So we’ll see what happens here. You've got a lot of things going on in Washington today, and I would argue this clearly isn't on the top of the priority list, but we take it serious and we’re going to continue to be -- to work with them.
Scott Flower - Banc of America Securities: And then I know that Jack gave us some nice charts on stockpiles. Are we seeing sort of more normal movements out of the PRB, or is this going to be a lag effect to stockpiles coming down to more normal levels, or might they even go slightly below normal before you start to see a greater pickup in sort of the volumes out of the PRB on the coal side?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Scott, we've already seen, I mean second quarter we ran about 30 trains out of the PRB, today we're running 33. Some demand pickup stockpiles, we're having a great summer right at the moment in terms of heat. So that all plays in our favor. So I think -- I don't really see any strange or out of seasonal pattern. I think we'll continue to see a nice run on coal for a while.
Scott Flower - Banc of America Securities: Do you think you're at normalcy now, or does it pick up from here?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: For the time being we're at normalcy but as those stockpiles -- I mean for the last couple of…
Scott Flower - Banc of America Securities: Trust me, the last six weeks.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Yes, the last six weeks are any indication of what's to come, I think you’ll probably see it pick up.
James Young: Hold on here a minute. You’ve got to be careful on normalcy. If you go back about three, four years ago, we were running 38 plus trains a day out of the PRB. We’re invested for a number higher than that. So we’re sitting here running, what, 33, 34 right now, which is a huge amount of excess capacity up there. So we’re a long ways away from what the production and investment capability is out of the mines. Again, I think that’s a good example is coal, if you believe coal will pick up over time here, you’re going to lever that business very nicely.
Operator: Our next question is from the line of Ken Hoexter of Bank of America.
Ken Hoexter - BofA Merrill Lynch: Jim, during the earlier part of the call, you mentioned, I guess, maybe at least four or five times kind of during the Q&A, you've got to watch out for volumes, watch out for volumes. But then you went -- I think Jack went through one of them and kind of highlighted all the stuff that's going on about building into peak. So I guess, are you anticipating a big peak, and then you’re concerned with what drops off after? I'm just trying to get where you’re -- or are you just being conservative overall? I’m just trying to get a read on why the kind of repeated commentaries there?
James Young: Ken, I'm probably being a little conservative, but on the other hand the visibility is very tough right now. And Jack, in talking with the customers, we -- they’re -- you can look at, as he talked to you, some of the positive areas that are out here. But we’ve been surprised before. We have to be -- we kind of use the term very agile, in terms of the economy, where it’s going. As Bernanke said yesterday, things are very uncertain going forward. So we’re cautious in terms of our outlook. I would say today though, if you add up the positives right now, they lean a little more on the positive side in volume than the negative.
Ken Hoexter - BofA Merrill Lynch: Jack, you guys have been really aggressive, I guess, in getting some of these legacy contracts done. Even some maybe even earlier than expected which was, I guess, a good move over the long-term for you. Things like UMAX and the Pacer contracts. Are there any of the big coal contracts or other legacy ones that are due in, I guess, 2012, 2013, that any discussions that have opened up ahead of time?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Ken, we're always talking to our customers and without getting into specifics, if an opportunity opens itself up and the customer’s interested and we can have a meeting of the minds, we would be more than happy to have those discussions with them. But that's an ongoing process for us.
Operator: Our next question is from Bill Greene of Morgan Stanley.
Bill Greene - Morgan Stanley: I just wanted to come back to the OR. So you sort of suggest that you feel pretty confident about the second half OR. And I think as a longer term target you've got for 2012 low 70%s. It seems in light of this performance and the way things are trending that, that would be conservative. Am I thinking about that the right way?
James Young: Well, at this point in time here, Bill, I mean I’m -- hard to argue that logic. But we’re not providing guidance going forward. Yes, the potential’s here. We’re -- again as I said, my conclusion, I think we’re starting to see what the UP franchise can really do. And a key here, obviously, will be continued volume growth. But I feel good about our possibilities down the road.
Bill Greene - Morgan Stanley: I want to also just ask about the Washington issues one more time. Just as you think about this stuff potentially not going through, because we're clearly running out of time left in this Congress, is there a risk that the rails end up sort of in the penalty box kind of for having been involved in this discussion? Where if you guys wanted to get something positive out of Congress, maybe the key legislators are going to say, sorry, you didn't play ball with us there, and we're not playing ball with you here?
James Young: I don't want to speculate any kind of the mindset, particularly when you have new members sitting up there next year. Our focus from day one is to work with the staff, help them understand our issues. We have spent a tremendous amount of time. And it's across-the-board. I mean the C.O.s have been very active in terms of helping people understand really a very complicated issue. And I tell you, Bill, I've not met a member yet that is not -- their goal is to figure out how you put more business on the freight railroad. And they don't want to screw it up, so we'll see. I think our industry, I don't think we've got a great story to tell you. Look at new investment. Think about the jobs potential. Last thing any member wants to hear up here is we’re cutting capital and eliminating jobs. And that's what's at stake here if this -- if whatever comes out is wrong.
Bill Greene - Morgan Stanley: I just wanted to make sure, I guess, that rails weren’t being viewed as an obstructionist in this.
James Young: I suppose you could probably find somebody that says we are. But we are -- the stakes are too high. I think overall, though, there is no question except, like I said, we’ve been -- we have been at least cooperate in the discussion. We’ve been very straight on the risks that are out there. And at the end of the day, though, the stakes are so high, we’ve got to be -- take this very, very serious in terms of where we’re going.
Operator: Our next question is from John Larkin of Stifel Nicolaus.
John Larkin - Stifel, Nicolaus & Co., Inc.: Just following on the Washington line of questioning here. You’ve mentioned that in your conversation with some of the members of Congress that they would like to see a larger market share shifting over to the railroads. Over the last couple of years there’s been some talk of an investment tax credit, perhaps you could apply to incremental capacity investments and that sort of thing. Are there any other programs that have come up in those discussions that could be advantageous in facilitating a transfer of market share from say the highway over to rail?
James Young: Well, I would tell you one thing right now is to take the uncertainty off the table, in terms of when we think long-term investment. The only way you're going to grow here is you've got to think investment long-term. And one of the things I point out to members is when you create an environment that's uncertain in the long-term, you start to get cautious in capital. The investment tax credit is still on the table, that's out there. That's probably a long shot. The fact of the matter is if they let this industry continue to move forward as we have, they're going to see more investment, more volume going forward.
John Larkin - Stifel, Nicolaus & Co., Inc.: Just maybe a longer term question involving the coal business. I know the AAR is concerned that cap and trade light could get passed here perhaps even in a -- what would amount to a lame-duck session after election day. Is that something you're concerned about? It sounds to me like you feel like you've got huge upside in terms of the capacity that's available in the PRB, but could that be perhaps never utilized if some sort of legislation gets passed later in the year?
James Young: John, we paid cash into it. Obviously, what’s at stake with coal, I'm not going to speculate what can happen in a lame-duck session. We take it serious. Lots of things can happen. I just have a tough time looking at this country walking away from coal when it generates half of the energy, electricity production in America. So we're involved. But we'll see what happens here. Our focus has been one coal’s going to be part of the equation. Technology’s got to be also part of the solution to help coal go forward.
Operator: Our next question is from Cherilyn Radbourne of TD Newcrest.
Cherilyn Radbourne - TD Newcrest Capital Inc.: I wanted to ask a question about Slide 15, where you detail your volume variability. And I think if I've read this correctly, it looks like your yards and local starts were up only 1% versus that 18% gain in volume, which would seem like a pretty exceptional result. So I wonder if you could just speak about some of your local initiatives?
John Koraleski: Well, a good portion of that, it is related to the train length that we mentioned, Cherilyn. They -- across-the-board. We also have initiatives in all of our terminals. When you say the yard and local was only up 1%, we have huge terminal improvement initiatives using our continuous improvement group, our lean concepts, crossed all of our major terminals. We had mentioned previously, before we'd shut down about -- or severely curtailed about 30 yards, that’s still in the 24 to 25 area. We've been all over, over time, curtailing that. So car repairs, mechanical, engineering on the transportation side, every one of them have productivity initiatives that help contribute to that and help us keep those crude starts and train starts down. But a big leverage item, and we’re continuing to focus on, is that train length. Put that additional volume and existing trains.
Cherilyn Radbourne - TD Newcrest Capital Inc.: And then last one for me, I believe you mentioned last quarter that you wouldn't feel totally confident in the recovery unless some of your industrial product categories started to participate more fully. And I just wonder if you could comment, with one more quarter of volume to look at, how you're feeling now versus at the end of last quarter?
James Young: Well, I’m still -- I mean our volume’s up 25% to a year ago. But again a year ago is the bottom. I'm still concerned. If you think about what's happening with housing, the housing numbers, obviously, have deteriorated in terms of new housing starts from where we were a quarter ago. But we're feeling better. We still have a long ways to go. And I’ll give you an example. If you take peak lumber loading, I think it was 2005 in a quarter, we loaded about 70,000 loads of lumber. At the bottom we loaded 19,000. Now it has picked up some but it's a long ways away. And again, as Jack mentioned, overall construction just right now is not looking real strong. And we’re -- again, I'm trying to predict the future here. I still believe that until you start seeing the hiring numbers improve, I think it's going to be a tough go for a while.
Operator: Our next question is from the line of Jeffrey Kauffman from Sterne Agee.
Salvatore Vitale - Sterne Agee & Leach Inc.: This is Sal Vitale on for Jeff Kauffman. Just some quick questions on, first on the pricing side. So pricing x RCAF was up 4.5%. Last quarter I think it was up about 3.5%. What was there any -- what was the main driver of the ramp up? Any particular business segment?
John Koraleski: Probably the biggest change, if you recall in our first quarter, we actually had negative pricing in our total Intermodal business. And that’s turned around in the second.
Salvatore Vitale - Sterne Agee & Leach Inc.: And then on the expense side. Just looking at some of the items here, like equipment rent that was down year-on-year, and I think you mentioned that about $14 million was one-time’ish in nature. What should we expect for the second half, should we -- should that pretty much grow with some relationship to volume? And what should be expect in terms of growth of that line?
Robert Knight: That's going to be -- equipment rents are going to follow volume. And that’s direct correlation to how our business grows.
Salvatore Vitale - Sterne Agee & Leach Inc.: And then just one last one, just a clarification on the other operating expense line, that you said going forward we should be looking at about $175 million or so?
Robert Knight: I said around $170 million or so per quarter, yes.
Salvatore Vitale - Sterne Agee & Leach Inc.: I think you remember it last -- or on the first quarter call, I think the number that was mentioned was about $200 million and -- per quarter. And you mentioned that about $40 million was due to this -- is it a true-up for the casualty line? And then I think you also mentioned that bad debt expense was -- was that a positive or a negative for the quarter? I'm just trying to reconcile from that $200 million to the reported $122 million.
Robert Knight: Yes, I got you. That was a slight positive. But the bigger driver when you compare the first quarter to second quarter was the CSXI payment that we made, which was roughly $45 million in the first quarter.
Operator: Our next question is from the line of Chris Ceraso with Credit Suisse Group.
Allison Landry: This is Allison Landry in for Chris. I was hoping to talk a little bit more about the productivity gains that you guys have seen, specifically in terms of the gap between volume growth and train starts and GTM. For example, over the past couple of quarters, you've seen train starts trending below volume growth in a range of about 11% to 12% and GTMs consistently at about 4% lower. But my question relates to sustainability. At what point will this gap narrow? And where do you see these spreads trending as volumes come back into the network?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Well, obviously, as volume continues to increase, we are going to bring back our cost and our assets at a slower pace. And Rob said that, Jim said that, I said that. And it's essentially a process driven across-the-board. We try and leverage everything that we can in our existing service offerings. We use technology in our distributive power. I think we increased our DPU gross tons about like 12% again, quarter-over-quarter, we continue to do that. In the new service offerings, we emphasize with our customers productivity initiatives, putting the right equipment on the right trains. So obviously, the leverage will gradually diminish, but we see upside opportunities for us in the future here. We don't see anything that would stop that from us at this point.
James Young: One of the ways to think about this also is what mix can do. We've got a lot of -- the thing of our network, you can run unit trains, like a coal train. Obviously, if that grows, you get a pretty good correlation between train starts and volume there. On the manifest network, which is mixed rate, there's a lot of capacity there. As Dennis was saying, we've got yards, 24 to 25 of our 115 primary yards that are in his sense really shut down. You’ve got freight cars stored. So mix can have a little bit of impact on this. But again, what you’ve got to think here is as you move up that capacity curve, we're going to have great leverage but it will start to shrink some.
Allison Landry: And then my other question. We’ve heard that Northeast Utilities stockpiles are actually closer to normal and the Southeastern ones are still pretty high. But just given the relentless heat wave that we've seen here in the Northeast, are you guys moving any of the PRB coal eastward to backfill some of the coal there?
James Young: We actually do have a couple of moves that move all the way into the Northeast. And those are moving quite strong, very strong demand for coal. So that's all good things for us.
Operator: Ladies and gentlemen, we have approached the end of our allotted time for Q&A session. We just have time for one last question. That question is coming from the line of John Mims of BB&T Capital Markets.
John Mims - BB&T Capital Markets: If we look back at kind of Intermodal and peak for -- and the peak levels, can you tell -- can you give me a sense of what your total container pool is now with Hub and Pacer and everybody included?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: If you look at the entire shooting match, what we own plus what we have tied together with Hub and Pacer, we're probably in the 70,000 container range and -- at the moment. Maybe a tad higher.
John Mims - BB&T Capital Markets: And that's including the ones you have on order?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: No. The ones we have on order -- as I look at it, John, by the time I get to the end of the year, we're going to have probably 57% of the container fleet tied to Union Pacific. And that container fleet is expected to be about 150,000 units in total.
John Mims - BB&T Capital Markets: And then one last question. The auto -- your auto industry, it’s 8% of revenue, it’s the smallest group. But when you look at steel, plastics and everything else, it’s feeding in to auto production. What's your total exposure?
Jon Langenfeld - Robert W. Baird & Co. Incorporated: I’ve never -- we’ve looked at it from time to time, it really varies. It’s pretty hard for me to put my finger on that.
James Young: John, I think you ought to ask yourself a question, where do you think the auto -- how do you say the sector is going right now. We said, when we came into the area, we got kind of $11-plus million new vehicle sales. I think the forecasts have come down a little bit in terms of the outlook. So I would argue right now with I think you have more upside than you have downside on vehicle sales over the next couple of years.
Operator: Thank you. I would now like to turn the floor back over to Mr. Jim Young for closing comments.
James Young: Well, again, thank you everybody for joining us. I hope you see the real potential year with the Union Pacific Railroad. And we look forward to talking with you with our third quarter earnings release. Thanks again.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.